Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro's Third Quarter 2024 Results Conference Call. Today with us, we have Mr. Mariano Bosch, CEO; Mr. Emilio Gnecco, CFO; Mr. Renato Junqueira Pereira, Sugar, Ethanol and Energy VP; and Mrs. Victoria Cabello, Investor Relations Officer. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the Company's presentation. After the Company's remarks are completed, there will be a question-and-answer section. At that time, further instructions will be given. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro's management and on information currently available to the Company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference.
Mariano Bosch: Good morning, and thank you for joining Adecoagro's 2024 third quarter results conference. We have already committed $96 million to shareholder distribution. This includes $35 million in cash dividends, on top of the $61 million that we have already invested in share repurchases year-to-date. As we distribute cash to shareholders, we also continue investing in attractive growth projects such as growing the size of our sugarcane plantation in Brazil, and strengthening our rice operations. Moreover, during the quarter, we repurchased $84 million of our global notes. Thus reinforcing our balance sheet structure. Moving on to the results, consolidated adjusted EBITDA during the quarter reached $111 million, whereas year-to-date amounted to $341 million. Starting with our rice operations, all the investments done through the years, such as the acquisitions of the assets in Uruguay, seed genetics, machinery, all these have materialized into record results. We have become a relevant player within the sector with a quick speed of reaction to respond to market opportunities. In Dairy, our continuous focus on enhancing efficiencies across the whole value chain, together with the development of higher value-added products are the main drivers toward the growth in results. Now we are in the middle of the planting activities for our 2024-'25 campaign, which are being conducted with good soil moisture conditions, and at a good pace for both crops and rice businesses. We have our teams fully focused on this and we are in an excellent situation to maximize yields in all our productions for the next harvest season. Now, let's move into our Sugar, Ethanol and Energy business. Despite the challenging weather conditions, our crushing volume remains ahead versus the previous year. And more relevant, we accomplished a 55% sugar mix during the quarter, thanks to our industrial efficiencies. We continue to expect a slight year-over-year increase in crushing and consequently, a new record in sugar production. Furthermore, we were able to secure new areas at attractive terms and even plant cane during the optimal window. Thus enhancing its productivity potential for next harvest seasons. Before passing the word to Emilio, a quick update on the ESG. In line with our energy transition strategy, we secured an attractive financing from FINEP to construct two biodigestors that will enable us to increase our biomethane production five times by 2027. This in turn will enable us to cut down carbon emissions, while reducing costs. To conclude, I would like to thank our teams. Despite these challenging events, we continue generating good returns and value for our shareholders. Thanks to their hard work and dedication. Now, I will let Emilio walk you through the numbers of the quarter.
Emilio Gnecco: Thank you, Mariano. Good morning, everyone. Let's start on Page 4 with a summary of our consolidated financial results. Gross sales increased to $457 million during the third quarter, while on an accumulated basis, were up to over $1.1 billion. This was mostly explained by higher volumes sold of most of our products, which in turn fully offset the lower prices for some of the commodities that we produce. However, adjusted EBITDA reached $111 million during the quarter, making a 29% decline versus the prior year, mostly due to an uneven year-over-year comparison. During the third quarter of 2023, we completed a farm sale which booked $30 million in adjusted EBITDA, whereas no farm sales were conducted during the current period. Excluding this, our quarterly performance was down by 12% versus the same period of last year, explained by lower results in our Sugar, Ethanol and Energy business. On a year-to-date basis, adjusted EBITDA stood at $341 million. Despite an outperformance of our rice and dairy businesses, lower results were driven by the aforementioned decline in our Sugar, Ethanol and Energy operations. Now, please turn to Slide 5. Regarding our production figures, in the bottom right chart, we can see that crushing volumes in our Sugar, Ethanol and Energy business were up 6% versus the same period of last year. Higher crushing translates into higher volume and better dilution of fixed costs. In our farming division, the increase in the production of grains was explained by a significant recovery in yields, after having experienced better weather conditions throughout our latest harvest season. Let's move to Slide 7, with the operational performance of our Sugar, Ethanol and Energy business. Crushing volumes during the quarter amounted to 4 million tons, making a 10% year-over-year decline. This is fully explained by the dry weather experienced during the first nine months of the year, which translated into a reduction in yields and thus into lower crushing. Nevertheless, this was partially offset by an increased sourcing of third-party cane, thanks to opportunities that arose from nearby areas. On an accumulated basis, total crushing volume reached 10.2 million tons, 6% higher compared to the same period of last year, due to greater sugar cane availability, given our expansion planting activities and third-party cane. In terms of mix, we continue to maximize sugar production given its attractive premium over ethanol. Within our ethanol production, we are maximizing the production of Hydrous Ethanol, as demand for this type of ethanol has been significantly increasing and gaining market share, offering the better margin. If required, we can always dehydrate our ethanol at any time. Let's please turn to Slide 8, where we describe sales conducted throughout the periods. Net sales amounted to $227 million during the quarter, while year-to-date it reached $502 million. As you can see on the top-left chart, the increase in volumes sold of sugar fully offset the decline in prices. As explained in prior releases, lower sugar prices have come down versus the levels seen during 2023 due to a stronger pace of milling in Brazil, which resulted in higher sugar supply. The same trend can be seen for our ethanol sales conducted during the respective periods. We strategically sold our production to profit from spikes in price. Even though selling prices in US dollar terms continue to be below the previous year on greater production. Consequently, we continue holding on to our ethanol inventories to profit from better prices in the upcoming quarters. Our stocks represent 49% of our year-to-date ethanol production. Moving on to energy. We focus on complying with our long-term energy contracts. However, lower prices and a weaker Brazilian real drove the decline in sales. Regarding carbon credits, we have already sold over 400,000 reservoirs at an average price of $15 per reservoir, making a total of $6 million in net sales. Please go to Page 9, where we would like to present the financial performance of the Sugar, Ethanol and Energy business. Adjusted EBITDA amounted to $100 million during the third quarter and $259 million on a year-to-date basis. Despite presenting an increase in net sales, as well as to a year-over-year gain in the mark-to-market of our commodity hedge position, results were offset by year-over-year losses in the mark-to-market of our biological assets on lower expected yields, coupled with lower sugar and ethanol prices. Finally, to conclude with the Sugar, Ethanol and Energy business, please turn to Slide 10, where we would like to briefly talk about the current outlook. Assuming normal weather for the rest of the year, we forecast a slight increase in our annual crushing figure versus 2023. Precipitations received throughout the month of October, enhanced the recovery of the cane that will be harvested in the next quarters. From a commercial point of view, sugar prices peaked by the end of the third quarter, due to a decline in Brazil's cane productivity on the back of the aforementioned dry weather. Furthermore, fire events reported by the end of August in key producing states added pressure to the country's sugar production expectations. Consequently, we foresee a tighter global supply and demand scenario for the coming months, reason why we still have a portion of our expected 2024 sugar production still in hedge, and our 2025 production remains open. In the case of ethanol, demand continued strong, given its attractive price versus gasoline, absorbing new supply and supporting the recovery in prices. We expect to sell our inventories over the following quarters, as we believe ethanol prices have room to improve due to the current low parity at the pump, coupled with the beginning of the industry's inter-harvest season. To finalize with the Sugar, Ethanol and Energy business, we are using our stored bagasse to produce energy to sell in the spoke market as prices recover due to low levels of water reservoirs. Now, we would like to move on to the farming business. Please go to Slide 12. By the end of October, we concluded harvesting activities related to our 2023 '24 harvest season, and produced over 1.1 million tons of agricultural produce. As of today, we are undergoing planting activities for our 2024 '25 campaign with a week to moderate La Nina weather forecast until the year end. It is important to highlight that for a correct crop development, rainfalls must occur from January onward as that is the moment when most of our crops define their yields. Furthermore, we were able to expand our winter crops area to over 45,000 hectares in this new season, due to better soil moisture conditions. In the case of rice, we were able to develop a new area in the Northeast region of Argentina. In Dairy, we continue enhancing efficiencies in our thee stores, which are already at full capacity. At the industry level, we are working on product development for the domestic and export markets, while expanding our presence across different price tiers with our consumer product brands. On the following Page 13, we present the financial performance of our Farming business. Adjusted EBITDA for the Farming business totaled $17 million during the quarter, whereas year-to-date, it amounted to $99 million. Starting with our Crops segment, adjusted EBITDA amounted to $2 million in the third quarter compared to a $29 million booked during the prior year as the latter fully reflects the sale of a farm conducted in September 2023. On a year-to-date basis, adjusted EBITDA totaled $22 million, which includes the sale of La Pecuaria farm conducted in April 2024. Focusing solely in our crops results, the segment performed better than in 2023, as we saw a significant year-over-year recovery in production. However, results were negatively impacted by lower international prices for our main products, as well as by higher costs in US dollar terms and lower-than-expected corn yields due to the impact of spiroplasma. Moving on to rice, despite increasing sales and better prices, lower adjusted EBITDA during the quarter was mainly explained by higher costs in US dollar terms. On an accumulated basis, adjusted EBITDA reached $51 million, marking a new record for this segment. Results were driven by year-over-year gains reported in the mark-to-market of our biological assets on higher prices and higher planting area. Lastly, adjusted EBITDA in our dairy segment totaled $8 million during the period, whereas year-to-date reached $26 million. Results were positively impacted by higher sales on higher prices, as we improved the mix of higher value-added products and maximize the production of fluid milk for the domestic market. Let's now turn to Page 15, where we would like to present our capital allocation strategy. According to our distribution policy, we must distribute a minimum of 40% of the cash generated during the previous year, via a combination of cash dividends and share repurchase. As of today, we have already committed $96 million to shareholders' distribution, $26 million more than the minimum stated in our distribution policy. In terms of dividends, on November 27, we will make our second cash dividend payment of $17.5 million, which represents approximately $0.174 per share. The first installment was paid on May 29 in an equal cash amount, resulting in an annual cash dividend of $35 million. In addition, we have already repurchased over $61 million in shares under our buyback program, which represents approximately 5.7% of the company's equity. Going forward, we expect to continue with our share repurchase. Please turn to Slide 16 for a broader view of our debt position. Net debt amounted to $646 million, making a 9% decrease compared to the same period of last year. Throughout the year, we have been diligently reducing our gross debt and cash position in the most efficient manner, while looking for opportunities to finance our operations at the lowest cost. As shown in our financial figures, this was achieved without distending our distribution policy and growth projects. As of September 30, 2024, our liquidity ratio reached 2.6 times, showing the company's full capacity to repay short-term debt with its cash balances, whereas our net leverage ratio was 1.5 times, in line with the same period of last year. On the following slide, we describe our CapEx program. Expansion CapEx represented $26 million during the quarter and $72 million on an accumulated basis. In Brazil, we continue increasing our sugarcane plantation and investing in our biogas unit in Ivinhema mill where our biomethane production takes place. In our farming business, investments include the acquisition of agricultural machinery, such as scissors and harvestors, as well as the development of croppable area for rice production and the construction of a new warehouse for our dairy products at our Chivilcoy dairy processing facility. Thank you very much for your time. We are now open to questions.
Operator: [Operator Instructions] Our first question comes from Bruno Tomazetto with Itau BBA.
Bruno Tomazetto: Good morning, everyone. Thank you for the presentation. I would like to discuss with you guys the parity of ethanol to gasoline prices. We see most of the industry now focused on the buildup of inventories to better capitalize on higher prices during the intercrop period. But at the same time, we also see higher than expected supply of ethanol related to sugar and ethanol operators in the Central South region, not being able to achieve sugar max production, right? So our question is, how to think about these two different dynamics impacting the parity to gasoline and what's Adecoagro's most updated view on the timing intensity for this, not only for Q4 but also for early 2025? And also, if I may a second one on the sugar prices. We understand that impacts on the sugar -- on the Brazilian sugar production was mostly limited to those regions impacted by fires, which is obviously not in your case, but you could benefit from higher sugar prices if we see further impacts on the industry struggling to produce sugar in the next harvest as well, right? So we would like to understand what Adecoagro is expecting in terms of potential impacts from these fires for sugar production in the upcoming year? And also how much do you guys think that's already pricing at current sugar prices? That's it. Thank you.
Mariano Bosch: Thank you, Bruno for your question. Renato will take the answer. Renato?
Renato Pereira: Thank you for your question, Bruno. So starting with the ethanol. We think that the demand of ethanol is still very high. Hydrous demand is close to 2 billion liters of ethanol per month. If you add then hydrous demand, you will reach 3 billion liters per month. The parity rate at the pump is still very low at 65%, favoring ethanol consumption. So if you take the stocks of ethanol and compare to the same period of last year, the stocks are very similar which have much higher demand today. So the start to use relation is much tighter now. And also you have to consider that the intercrop period of this year is going to be longer due to the weather problems that the Center South of Brazil is having. So we expect that the price of ethanol is going to react -- actually is already reacting and we think that it should reach the 70% or surpass the 70% parity at some point during the last part of this year and first quarter of next year. We are holding our inventories to sell ethanol during this period, capturing higher prices. And regarding the second question of sugar impact of the fire, we think that the fire is going to have an impact for next year as well. The fire occurred in August and September, most August and September. So the sugar cane that was already harvested at that point, and lost all that growth. So the sugar cane is going to be very delayed for next year. So we think that the first half of the year, the Brazilian meals in general, especially the regions that the fire occurred, they're going to vary -- they're going to have a very low yields or much lower yields than usual. So we think that the market will be still dependent on Brazil in the first half of the year, and the market is going to be still -- is going to continue very tight. That's why we think that the future curve should be more flat and you take the opportunity to hedge the remaining part of our production.
Bruno Tomazetto: Thank you. Very clear, guys. Thank you.
Operator: Next question is from Isabella Simonato with Bank of America.
Isabella Simonato: Thank you. Good afternoon, everyone. So my question is about yields. First of all, in Argentina, right, you guys mentioned that the planting has started and the expectation of course, is for a more relatively normal weather on next season. So I wanted to understand if we can start thinking right that yields will improve year-over-year. And also if you can elaborate a little bit on the mix of various -- it's clear that you guys reduced the exposure to corn, right? And I would say this is related to the plague you guys faced this year. But just to give a little bit more context on the mix of crops would be helpful. Thank you.
Mariano Bosch: Thank you, Isabella. I am going to take your question. Regarding yields in general, last year was a challenging year, and we are starting this season with excellent conditions. So in general, we are starting at a much better conditions than what we started at previous season. So assuming weather going normal from now onwards, we can clearly expect better yields than what we have last year in general as a whole. Then getting into the details of our distribution within the crops, this year, we are increasing solving compared with -- comparing with the corn but even more relevant than that and thinking on how prices we expect they will be moving for the future. Peanuts is the one we are growing more and we are starting in even better leased land. So we expect better yields for next year. And peanuts is becoming a very relevant crop. And in the peanut side, as Europe is the main buyer of peanuts for Argentina, we expect a lower decrease in terms of prices because the quality that the Argentinian peanuts have will be sold all to this market that is not reducing the price. Then we also have an increase in sunflower, that sunflower is playing a different role than the other commodities and that's why because of the oils and the increase in the price of oils, sunflower is at a better price than the previous year. That's why we are also increasing that one. And then the most relevant crop that we are having today, as you can see in our reports is the rice. And in terms of rice, although we expect that the average of the rice in general worldwide is going down. We do produce special varieties because of our seed genetics. So our model of being fully integrated in terms of rice is giving us a competitive advantage of reaching special clients, where we can defend our price in a much better way. Also, we've been developing and we've been doing a lot of CapEx, as you've seen in rice, developing rice production and developing the processing machineries or the processing the meals to process all that rice or not all that different segregated varieties that can also help us to maintain those prices and that's why we are seeing record levels in terms of EBITDA, and we can project that into the future too. Finally, in terms of all these allocation of the different crops within the farming system, it is also important to understand that dairy is also growing and the whole processing of dairy is growing and here the domestic market of our dairy products are paying off, and we are becoming a relevant player within that sector. That is helping us again to maintain or increase our prices in terms of what we are selling. So that's basically a quick summary on how we are planning this new harvest season, and what are the main movement within the crops of farming as a general.
Isabella Simonato: That's very clear. Thank you.
Operator: [Operator Instructions] Our next question comes from Matheus Enfeldt with UBS.
Matheus Enfeldt: Hi, good morning, Mariano, Emilio, Renato, Victoria. First, happy to be here and congrats on the results. My first question is on CapEx. Adecoagro has been running at slightly higher rate for this year, particularly in expansion CapEx in sugar and ethanol. So I wanted to get a sense from you on how this advances your time. I assume that 2024, 2025 and 2026 are likely to be years of higher CapEx when we compare to the past couple of years. But my question is, how you're seeing this advance and in general, what's the appropriate level that the Company can perform if there is a potential to climb closer to $300 million in order to accelerate a few of the growth opportunities. So that's my first question. And then my second question, I think a follow-up to the previous one, which is -- I think the message on prices and productivity is clear, but how you're seeing cost develop as well? Thank you.
Mariano Bosch: Okay. Thank you, Matheus, for your question. Number one, and a more quick answer in terms of cost development. I think this is a very important question because we've been always developing these sustainable production models in the four business lines or business segments that we have, thinking on being the lowest-cost producer. So for us, the cost is very relevant here and this approach of being the lowest-cost producer is always helping in these scenarios where prices or commodity prices are going down. So this is an important approach. And as you can or maybe you don't see it yet in these reports because we are comparing '24 to '23 campaign. But when we are planning our next campaign and when we are planting today, we are reducing costs and if we assume yields being in line with the history and what we are projecting according to what we are planning today, we do expect a reduction in cost of production in general going forward. That's something that we can expect and we are working to be there in the near future. So, making the quick clarification in terms of cost. Now I'm going to get your question on CapEx. And in order to answer the CapEx question, I would like to refresh what Emilio has just said about the capital allocation. When we think in CapEx, we are always thinking within the overall concept of capital allocation. So as you can see, the first thing that we are going to maintain and we are being very strict is on compliance, our policy of distributing at least 40% of the net cash from operation of the previous year. So as you can see in 2024, we are distributing more than that and we are returning almost 10% of the total equity of the Company. So making the clarification and having clear that this is our priority and will continue to be a very relevant priority. We are very happy that we are seeing now some growth opportunities in all these different segments that we have. As you can see, I'm getting into the details of this CapEx that we are increasing, not a lot, but increasing from '23 to '24. You can see in the sugar and ethanol that has been the segment where we've been more stable and where we've been more clear in the communication on this growth. This around $50 million per year that we are still investing. Here '24 and '25 are the two main CapEx there that we are looking at. Number one is the biomethane that we've been talking before, where we are financing this -- the production of biomethane through the vinasse that we have already explained in various calls before. And this is helping us to replace the diesel and reduce our cost of production as a whole. And these are returns that are between 15% to 8% to 20% in terms of unlevered return, as they are financed by FINEP at very, very cheap rates, the levered returns are very, very high. Then the other important growth in sugar and ethanol is the planting of sugarcane. Planting sugar -- we are in a region where we are still having opportunities to have good leases and good areas where we can continue to expand the sugarcane. And this is the base to all what we are producing. Once we have these increases, we also have some bottlenecks that we can take out of the whole chain of milling and we are increasing milling at a relatively low cost of production. So that is how we are growing on the -- and the CapEx we are doing on the sugarcane business. Then moving into the rice, dairy and crops, as I mentioned before, rice is doing very well and these investments in genetics -- in seed genetics, in machinery, and in more production is also paying off because we are reaching to the right markets. We are also investing in our own port to export at the clients we have all over the world. So those investments in rice are being very profitable today. And also the second in relevance on the amount of investments is on the dairy business. On the dairy business, we are not increasing a lot in terms of production. We are increasing more the processing side and we are increasing the investments like a warehouse, what we are doing now to reach the market consumer. So reaching this market consumer is giving us an additional price and that's why it's being the most profitable thing. And that's something you are seeing every quarter that, we are increasing the results on the dairy segment as a whole. So those are the investments that are happening in the overall Company, all of them are within the segments that we have and they are all with IRRs between 18% to 25% and always thinking on unlevered IRRs.
Matheus Enfeldt: That's clear. Super. Thank you.
Operator: Just a heads-up that we received a question from Larissa Perez from JP Morgan, but it was already addressed during Isabella Simonato's question. [Operator Instructions] This concludes the question-and-answer section. At this time, I would like to turn the floor back to Mr. Bosch for any closing remarks.
Mariano Bosch: We would like to thank you all for joining the call and for the support we've been receiving and hope to see you in our upcoming events.
Operator: Thank you. This concludes today's presentation. You may disconnect at this time and have a nice day.